Operator: Good day everyone and welcome to the MarineMax Incorporated fourth quarter 2010 earnings conference call. Today’s call is being recorded. At this time for opening remarks and introductions I would like to turn the call over to Miss Kate Messmer from ICR, please go ahead ma’am.
Kate Messmer: Thank you, Operator. Good morning everyone and thank you for joining this discussion of Marinemax's 2010 fourth quarter and fiscal year results. I'm sure that you've all received a copy of the press release that went out this morning, but if you have not, please call Linda Cameron at 727-531-1700 and she will fax or e-mail one to you. I would now like to introduce the management team of Marinemax, Bill McGill, Chairman, President and CEO and Mike McLamb, CFO of the company. Management will make some comments and then will be available for your questions. Mike?
Michael McLamb: Thank you, Kate. Good morning everyone and thank you for joining this call. Before I turn the call over to Bill, I would like to tell you that certain of our comments are forward-looking statements as defined in the Private Securities Litigation Reform Act. These statements involve risks and uncertainties that may cause actual results to differ materially from expectations. These risks include but are not limited to the impact of seasonality and weather, general economic conditions and the level of consumer spending, the company's ability to capitalize on opportunities or grow its market share, and numerous other factors identified in our Form 10-K and other filings with the Securities and Exchange Commission. With that in mind, I would like to turn the call over to Bill.
William H. McGill Jr.: Thank you Mike and good morning everyone. Trends in the boating industry remain challenging as noted in recent industry reports and reflected in our fourth quarter results. After dropping sharply in June, consumer confidence has been choppy, declining significantly in September and remaining relatively weak in October. We keep hearing from prospective buyers that they are hesitant to make a major purchase until they gain more confidence that the economy is improving. They are boating more with their families and enjoying the boating lifestyle but they need to be more comfortable about the economy and security of their individual job or business before making a purchase. Our fourth quarter sales proved to be disappointing and challenging especially given the importance of the quarter to many of our seasonal markets. Our team worked very hard in the face of consumer confidence and for their extra efforts and dedication to our customers I thank them. Given this backdrop, we continue to carefully control our inventory levels and aging. The aging of our inventory continues to improve as evidenced by our margins. Considering industry conditions, we have reduced our near-term incoming boat purchases to ensure our level of inventory remains in line with what we are seeing at retail. As we previously communicated, we have shifted to a three-times-a-year ordering process with our major manufacturers to provide us with more flexibility at matching purchases with retail activity. When we see retail pick up in a sustained fashion we will increase our orders. Our focus on inventory aging allowed us to report another quarter of solid margins in the mid 20% range. Recall that last year in the fourth quarter we ran a companywide initiative to dramatically reduce our inventory levels which significantly impacted our gross margins. So while our sales were down significantly this quarter compared to last year, our gross margin profit was actually more than two and a half times greater. Our overall gross margin this quarter was not as high as in the June quarter. However, the underlying product margins on the boats we sold are barely comparable. This quarter we had a higher mix of boat revenue driven by larger boat sales and as you may recall, larger boat sales generally carry a lower gross margin. This mix [shelf] is a primary cause of the margin decline for the June quarter. We had discussed before the negative impact of repossessed boats and dealer values on gross margins throughout the industry.  While the industry level of repo boats has moderated substantially, if a large number of dealer affairs occurred this winter, we could experience near-term gross margin pressure but clearly it would help our long-term competitive position and further market share gains. Our last year inventory levels stood at approximately 189 million which is down from approximately 550 million in our peak and even down from the 206 million level that we achieved in the prior year following our big inventory reduction push. On a sequential basis, inventories were up a little which is why one of the reasons we reduced incoming boats as I mentioned earlier. From an indiscrete perspective, inventory levels are better aligned with demand than last year and we believe that other dealers have also rationed down their purchases which should continue to support a lower level of inventory in the [chart]. Moving on to expenses, we are [narrowing] back to equity compensation expense and removing the costs associated with stores that we closed, our expenses are down significantly from the  prior year. They are also down as a percentage of revenue from the turns of the last few quarters but upsizing in dollars. As we had mentioned in the past, 56 stores we operate today produced an excess of one billion in revenues in both 2006 and 2007. We believe this provides us with a significant opportunity for growth going forward without increasing our fixed costs. On the financing front, just after the quarter ended we also added a $30 million line of credit for our Azimut Yacht business which compliments a $100 million facility that we put in place in the June quarter. Both of these facilities are structured in a manner that increases our flexibility and reduces our costs from the previous facility we had. Our strong tangible network enabled us to achieve this financing in an environment which is still very challenging for borrowers especially in our industry. We believe our ability to receive finance increment as we have done is a competitive advantage and something that further strengthens our leg in position. The actions we have taken over the past two years to right size our business, while simultaneously continue to focus on improving the experience our customers receive is allowing us to consider various growth opportunities. We have recently expanded with two premier brands in the water skiing and white boarding arena. Specifically we expanded with Malibu and Arizona and Nautica in Minnesota and Georgia. We have also expanded with [Hatteras Aluminum Phantoom Boats] in several of our markets which is a segment in the industry that’s doing pretty well right now. These recent brands expansions since the ones that we did last year like Azimut in Florida and Hatteras in Cabo and in mid Atlantic and North East are helpful now but will be even more meaningful as the yacht industry begins to recover. I’ll now ask Mike to provide more detailed comments on the quarter; Mike?
Michael McLamb: Thank you Bill, and good morning again everyone. For the three months ended September 30, 2010, our revenue was $124 million, down approximately $83 million from the prior year. Our same-store sales declined by 36% compared with a 41% increase in the same quarter last year. Revenue from stores closed that are no longer eligible for inclusion in the same-store sales base was about $12million. As Bill mentioned, last year in the fourth quarter we adopted an aggressive inventory reduction strategy which meaningfully boosted our same-store sales in the face of an industry decline and also dramatically reduced our gross margins. Though quarterly the comparison relative to last year is less meaningful, I will note that we were able to generate an increase in revenue from the June quarter which seasonally, other than last year has never happened. Using historical percentages, weather predicted a September quarter around $90 million. Gross profit as a percentage of revenue was approximately 24% in the quarter up from only 6% in the prior year. In the June 2010 quarter we reported 30% gross margins which was largely due to the mix shift in our business towards service, parts and accessories, finance and insurance and brokers’ businesses which expanded as a percentage of our business due to our focus and also reduced boat sales. This quarter revenue was up 8% sequentially from June and we generally experienced in increase in larger boat sales which carry a lower margin. The increase in boat revenue as a percentage of total revenue combined with the fact that larger boat drove the increase is the primary reason for the margin decline. Our selling, general and administrative expenses decreased approximately 32% or $14 million during the quarter to $31 million. As Bill mentioned, our expenses are tracking better than the last few quarters on a percentage of revenue basis but came [loss] on the dollars. The dollar increase is due to modest incremental marketing efforts which drove the sales increase in the June quarter in the face of tough registry conditions along with an increase in variable compensation namely commissions resulting from the increased boat sales. I would note that the store closing costs that we incurred were primarily due to trimming up accruals for future leases on stores that we closed last year. Given the continuing soft commercial real estate market we’d lowered our soon subleasing expectations which resulted in the bulk of the increase of the expense. As the press release noted, we reversed stock compensation and certain restricted stock units whose performance criteria is no longer deemed probable. Interest and expense decreased 75% to approximately $700,000 as a result of  our reduction on average borrowings on our line of credit and the modestly less expensive facility. Regarding income taxes, we did not recognize any material income tax expense or benefit and as we have discussed in the past we are likely not to do so until we return to sustained annual profitability. The net loss for the fourth quarter of fiscal 2010 was $1.8 million or $0.08 per share which includes the benefit of $0.18 per share for the reversal of equity compensation expense as well as the added expense of $0.05 per share for the store-closing costs.  The loss is much better than a net loss of $33 million or $1.72 per share in the comparable quarter last year. I won’t add many comments about the year other than to note that our overall margins have come way up from the  prior year, but I will add that our core product margins were much improved or below the levels we experienced historically by 300 to 500 basis points depending on the brands and the categories. As we in the industry continue to improve aging and inventory levels and the consumer gets more comfortable of their purchase decision, our margins have the opportunity to increase. Turning to our balance sheet at quarter end, we had approximately $16.5 million in cash but as we have mentioned in the past, our cash is a function of how much we want to leverage our inventory. We have substantial cash in the form of unlevered inventory. Our inventory at quarter end was $189 million, which is down approximately $17 million or 8% from the comparable period last year when we took a grant of access to reduce our inventory. As Bill mentioned, the aging of our inventory has also much improved compared to where we stood a year ago as reflected through our 24% gross margin. Turning to our liabilities, our short term borrowings were $94 million at year-end down 34% from $142 million in the prior year. In early October we secured a new financing facility with CGI, a subsidiary of French based Societe Generale. The new facility provides for up to $30 million of low plant financing for our Azimut products. The facility has a one year term but is advanced to remain upstanding for 18 months. An advance is made on a specific boat that we acquire, the facility accrues interest at a rate of live work plus 350 basis points. We must comply with certain balance sheet-related [confidence], specifically our current ratio must be greater than 1.2 to one and our leverage ratio, defined as all liabilities divided by tangible network must be less than 2.75 to one. This facility follows our agreement in June for a new $100 million financial agreement or GE. Both facilities have the same [covidence]. We ended the quarter at the current ratio of 1.80 and total liabilities, tangible net worth ratio of 0.67. Both of these are very healthy balance sheet ratios and are far better than our required covenant levels. Our tangible network now stands at more than $200 million. We have more than half of our locations which are debt-free. As we work through the current environment where we will keep a close focus on managing our inventory and expenses and we continue to believe that we are well positioned for cash flow generation of profitability as conditions start to improve. With that said I’ll now turn the call back over to Bill for some closing comments.
William H. McGill Jr.: Thank you Mike. While the industry is still looking disturbed by long awaited rebounds, it has been encouraging for us to see our customers out on the water more than ever. As evidence of this, our fuel sales are up substantially compared to the prior year and participation in our customer events continue to be robust with our get-away events nearly always at capacity. Our customers’ passion for boating is clear and we know this will translate into opportunities for us in the future. While the bulk of our comments on this call have indicated that the industry is still soft, I will share a few, very recent price [packs]; our Tampa and Atlantic city boat shows in September both were out-boated in prior years in units and dollars. Also, we just exited the Port Lauderdale boat show which ended this past Monday. As many of you know, this boat show is usually one of the largest shows in the world. I am happy to report that this show is also up substantially in units and dollars compared to last year. While these are encouraging signs, we have much work to do to close the contracts we have written and made divisional sales following our open houses and demonstrations of the boats. Also we need to remember that we have had positive signs over the last few years which had not reached the sustained industry in curves. So we need much more time and evidence to see the real status of the industry. We believe that no one in the marine industry is better poised to take advantage of improving conditions than Marinemax. We also believe that considerable pent-up demand is present and growing and will generate sizeable boat sales once consumers feel more comfortable with spending. Our customers need to see signs that the economy is starting to get better and we believe that once we start to see a sustained improvement in consumer confidence, that we will reap the rewards. We have and will continue to keep our focus on our customers and look for additional strategic opportunities during these times, such as expanding with brands and/or acquisitions. Marinemax excels in superior customer service, product offerings and access to financing which other dealers simply cannot offer. Our strategies of teaching, servicing and showing our customers how to enjoy the lifestyle of boating is proven and remains our primary focus. And with that, operator, we will open the call over for questions.
Operator: (Operator Instructions) James Hardiman with Longbow Research.
James Hardiman: Good morning, a couple of questions for you guys; obviously the anecdotal commentary that the high end boats are bouncing back pretty nicely here, pretty much seems like a positive. I was wondering if you could speak a little bit towards the fact that Brunswick and some other industry sources things are just that from an industry perspective that the trend is the opposite and that aluminum is dramatically outperforming fiber glass; at least so far this year and I think they continue in the third quarter. Can you speak a little bit to why you guys are seeing different trends than what it appears like the industry is seeing?
Michael McLamb: James, I think it’s primarily that the consumer that buys the larger boat and in a lot of cases they are financially on the very solid ground. It’s really more an issue of consumer confidence and concerns that maybe they have with what was happening in the country and what’s happening in our economy and the world and so it’s had them tabled. At the fourth Lauderdale boat show, it was very encouraging to see the attitude of the customer was very, very strong about the next boat and looking for when they want to get to it. And we had a lot of discussions with prospective buyers who we believe are ready to pull the trigger once they see some very positive signs. But we did business in smaller boats, medium sized boats and larger boats at the boat shows which is very encouraging. So larger boats are showing a definite rebound.
William H. McGill Jr.: And James I will tell you some of our [converts] are specific too like the Hatteras and the Azimut brands which are larger than what [Brunswick] may be generally referring to also.
James Hardiman: Okay, perfect that’s helpful. And then I was hoping you could give us maybe some pieces to be able to figure out what the running rate for SG&A should be? If my math is right, once you pull out the stock comp reversal as well as the closing costs, SG&A was still up sequentially by about $4 million versus the third quarter; I guess the first question is are math right? And the second question is how should I think about that going forward? It’s not like the variable comp with a piece; how should I think of that going forward? What’s fixed, what’s variable?
Michael McLamb: I think the math if you take the store closing costs and so forth you get a $2 million increase from the comparable number in the June quarter to $34 million roughly. We spent more marketing dollars in the face of the sliding industry to produce the increase that we had. I think the low 30s and the 30ish to the low 30s is the right expense level. I can tell you that we are working to get it below that but that seems to be where we have settled in on this basically for all of fiscal 2010. And as Bill alluded to in his prepared remarks, we have the ability to increase our top line from the fix cost stand point which make up a little over a third of our expense structure without incurring a lot of costs because the stores back in 06 and 07 did produce over a billion in revenue.
William H McGill Jr.: And we are certainly focused in the low 30s and even trying to get to a number below that but we also recognize that growing, sharing, and so forth in this environment is important which is why we increased our marketing to spend a little bit during the quarter.
James Hardiman: In the variable comp you guys have sort of gone back and forth a couple of times, sometimes it’s based purely on the top line, sometimes it’s based sort of on profit balance at the dealer level; remind me where that is and how that should move in relation to sort of which line items?
Michael McLamb: It’s tied to both obviously. The higher boat sales you have, you’re going to pay out more commissions, the higher the gross margins, the commissions also go up. When you have the spike that we did in the June quarter and – I say spike there was a mix change also but our margins are pretty in the June quarter as they are in this quarter for a comparable product but that generates an increase in the variable compensation.
James Hardiman: Okay, so the variable comp increase was more a function of what happened in the June quarter than what happened in this quarter? Is that how we should think about that?
Michael McLamb: The sales increase in this quarter and again there is also a general margin increase that is going on in our business from let’s say the March quarter to the December quarter which has increased the variable  compensation which we highlighted in the June quarter. So you get both things James; as sales go up you’re going to pay out more and as margins improve you pay out more also.
James Hardiman: Got you. And then finally, obviously you’re not really giving guidance for next year but can you speak just in general terms in terms of whether or not you think you’ll be back to-on the positive side from the profits stand point. And if at all you can speak to what type of performance you’ll need to see from the industry perspective to get to that break-even point.
William H. McGill Jr.: James we don’t give guidance so I can tell you that everyone in the company is focused on profitability for our fiscal year 2011, and we mentioned in the call but what was really disappointing is up to April or May we were pretty encouraged as what our gain would be and then it was like the bottom fell out with consumer confidence and one of our customers kind of tabled decisions and that type of thing that during our summer season, and a lot of the markets and so we believed that there is…it’s something  we are not going to take our eye off the ball on…and we are going to do everything we could  possibly do to achieve it. And…but we just need a little bit of help with consumer confidence and I think there’s some things that we’ve had happening that should help with that, to get the consumer confidence up a little bit and with our consumers.
James Hardiman- Longbow Research: Let me ask you the question this way then if we were to see flat sales from the industry perspective, it sounds like from what you’re saying you expect to see continued gross margin improvement. I don’t know if you are assuming margins in terms of market share for the year. And then SG&A I’m guessing would be, well if I know what SG&A would shape out…it sounds like maybe a little bit lower next year verses this year. I also think about those things in a flat in the industry scenario.
William H. McGill Jr.: If the industry is flat James, we should be able to do much better than the industry and that is because the industry is smaller. If the numbers are right it’s been approximately 2000(dealers) in the follow up. In the week’s summer, it’s probably going to generate some more buyers at dealer level and…So the pie is small, but our opportunity to get a bigger piece which we are getting right now and continue and so that will be our market share opportunity. And so the repose plays a lot on it and I mentioned that that when you are competing with companies and are in (troubled) manufactures, and are in troubled dealers…that’s a tough one to compete with. But that’s drying up and there maybe a little bit more of it but with just a little bit of help of…we should be fine.
James Hardiman- Longbow Research: Great and then this one last quick question, store closure costs, is that pretty much done? Should I be assuming anything for that going forward or I should not think about that?
William H. McGill Jr.: I will not aculeate that going forward that going forward.
James Hardiman- Longbow Research: Great thanks guys.
William H. McGill Jr.: Thank you James…
Operator: Once again ladies and gentlemen (Operator instructions) and we’ll know hear from Gregory Mckinley from Dougherty.
Gregory Mckinley: Yeah thank you, can you give us the sense for…you talked about you’ve moved to three tenths per year inventory ordering process with your vendors.  Obviously now we are heading into a seasonally slow time of the year, given the purchase adjustments you’ve made as well as the anticipated seasonal slowdown, where do you think a reasonable place would be for your inventories to approximate the end of your first quarter. Can you assure us with any goals on that front?
Michael H. McLamb: I don’t have the number in front of me as to where it ended last year. I know how we’d be last year, we felt like we were probably late in some products going in to the boat shares but I would assume around last year’s number were down slightly from that, Greg I would think. I think more importantly is that we had the flexibility there to bring in products as we needed and our stock product if that’s what retail is telling us to do which is what we did here this past quarter.
William H. McGill Jr.: And we are even making adjustments on almost weekly basis, is that right?
Gregory Mckinley- Dougherty& Company LLC: Okay.
Michael H. McLamb: To predict I mean, we obviously we have objectives and goals internally as where we are trying to get to but any one point in time that kind of depends on the shipments of products that just came in either from Europe or from manufactures right then, we certainly want to be prepared for the boat shows. So we always have product come in for that but the flexibility that we have now and honestly the great working relationship that we have with our manufacturers I regard to turning the valve on and off which is working well, gives us the flexibility to make sure we get the right product in the house.
Gregory Mckinley- Dougherty& Company LLC: Okay. Yeah I guess I was asking if just to give a little better sense of the company’s cash flow position in liquidity here hardening into the seasonal slowdown, and with that as kind of a case can you talk a little more about…I think there you’ve talked about some rules or restrictions around access to the $30 Million as (assonate) line. How is that going to be…?
Michael H. McLamb: The assonate line is specific to financing assonate products. There really isn’t any rules or restrictions as both come in we can borrow against it, we can pay down the boats, we can re-borrow, we had the GE facility also. I can tell you from the process of doing the GE facility also the CGI facility, access to capital is much better for companies like Marinemax without tangible networks position that may have been a year ago, eighteen months ago. I get the bigger challenge for us in the industry is inventory management like the point that Bill had mentioned. And  I think at going back again to the flexibility that we’ve got, if we don’t see things happening at retail then we are going to not bring in the product and that obviously improves liquidity within the company because you’ve got more to sell something. And so…I think it’s more of the inventory management focus than a out of the lines work from my perspective, I mean when I think about it Greg.
Gregory Mckinley- Dougherty& Company LLC: Yeah okay and then…so it sounds to me like with your current credit facilities access to capital is not that big of an issue. Maybe just I try to understand but have you ever even got to a point where you think about needing to do, I mean say on lease backs on your own real estate or anything like that or is that so far down on the road with the line of credit you have available.
Michael H. McLamb: Yeah we are not in favor of sell lease- backs with our unique properties and how we want to control them for long, long time. We know we have the potential if we needed to bring cash in, but that’s not what we would try to do. What we would do is like that given an example; we are taking our new product lines that we have had to right? So let’s say the industry does see an uptake and let’s and let’s say we need additional lines or credit that fill basically our sales. Based on again on these last few facilities and the proposals that we received with other financing sources, I don’t see access to finance and to be a challenge. Again I look through our balance sheet and kind of smile when I see the (tangible) at work. That’s what really that allowed us to get the financing agreements in place we have. It’s a capital that we have in the company which is significantly greater than our total financing committements. Today it’s at $130 Million, we have 200 million intangible network.
Gregory Mckinley- Dougherty& Company LLC: Okay and then, can you talk about the importance of boat shows for this time of the year so what portion of your quarter gets written at a show, just what your context for how in important the Lauderdale show wanted to tamp this (at center) and then Bill just maybe recap again the brands you’ve expanded and what you think that the benefits of those are going to be?
William H. McGill Jr.: Okay then the boat shows…before we get a chance to sell them the boats. It’s not just what you contract, it’s the relationships you create and as far as figure after shows.
Gregory Mckinley- Dougherty& Company LLC: Great thank you and then just one last follow up. Mike you talked about a desired further reduced SGNA dollars, if we were in…I mean do you see enough additional reduction opportunities such that if revenues actually grew next year, we could still have a decline in total SGNA dollars or is that…would that not be possible given your commissions structure.
Michael H. McLamb: It would depend on the growth of the revenue, I mean if revenue goes from 450 million to 500; it’s going to be really hard. We are going to every landlord; we are looking at every phone bill, every expense that goes to the company. Again I mean its…I think many of them on the phone I’ve heard it’s to expenses before that’s where we’ve gone from over 200 million expenses down to  roughly 125 million or thereabouts. Actually we are going through that process again; it would sure be our goal that we would not have and increase but I think realistically the way our accounts structures work with the commissions on both sales it’s going to drive an increase. And then as the company gets into profitability and as the departments within the company get into profitability, our (complaints) pay a percentage of that profitability. So you get an increase kind of happening in there as well.
Gregory Mckinley- Dougherty& Company LLC: Okay.
Michael H. McLamb: Greg, I think where we had those discussions, kits going to be a much more positive discussion because accounts grow in for the right reasons. Our expenses are growing for the right reasons.
William H. McGill Jr.: And we are also adding some expenses where some strategic guidance we are doing like adding the brands and some other things we are doing in the company to take advantage of these opportunities that are in the industry right now.
Michael H. McLamb: And to Bill’s point, these brand expenses that were listed in the press release, they came in the late part of the summer. And so really the benefit of all the different brands that we talked about, where take in more as beginning this deeper part of this fiscal year.
Gregory Mckinley- Dougherty& Company LLC: Thank you.
Michael H. McLamb: Thanks Greg.
Operator: We’ll now go to Michael Fox with Park City Capital.
Michael Fox –Park City Capital: Good morning Mike, good morning Bill.
William H. McGill Jr.: Good morning Mike, How are you?
Michael Fox –Park City Capital: Good thanks, how are you guys doing?
Michael H. McLamb: Great.
William H. McGill Jr.: Great.
Michael Fox –Park City Capital: Can you talk a little bit about the financing environment form the customer perspective and what you are seeing in that?
Michael H. McLamb: Yeah, it’s much better than it got you in 2009. You may recall, things got pretty tight but banks want the retail paper, rates are competitive. Its…(hard to mind).
Michael Fox –Park City Capital: Okay great and then can you talk about the use market there and kind of what you are seeing in the inventories and the demand for those you’ve got?
William H. McGill Jr.: Our inventories are in great shape and as far as used are concerned and actually we are out but in some cases buying boats, where they make sense. So that being said, the values have been increasingly…I mean they have been increasing here recently Mike and it s because demand is greater and the suppliers is becoming less. So we keep looking for opportunities there and our team is all over that the customer is moving somewhat away from the let’s make a incredible deal type mindset that they were in a year ago, and realizing that the market is starting to dry out and that the unbelievable deal that are no longer there with the repose, and so it’s helping the use market and then it would also help our lease sales.
Michael H. McLamb: I think it’s important to note they are going to allow to use boat sales during the last couple of years, that have taken business away from new boat sales arguably against those late model used boats sales dry up. At least there is some industry expectations that’s going to help to take up the new boat sales drive.
Michael Fox –Park City Capital: Great and then you mentioned that the rebound has been a little bit later, a little bit faster. And although you could see some dealers go away, how big the magnitude, I know it’s tough to predict with but how big you think that could be? Could that be an opportunity to pick up some used inventories or give it some more the new inventories in more locations, or would you look at it as the way kind of steal share without doing anything?
William H. McGill Jr.: We are evaluating the opportunities as they come up and some of them that has presented themselves, others they didn’t make any sense and we walked away from them. There probably would be more failures, I think a lot of it depends on what occurs on over the next three or four months in our economy, it’s been how many more will occur. But if you take 2,000 out of it, 5,500 dealers, it’s been pretty significant and we are getting calls from dealers that are struggling right now. And if we are evaluating them then if it’s a great deal then we’ll for sure we’ll look at it. If it’s a good deal then we’ve got it safe then maybe we need to be a little more cautious. So we’ll continue to look at those and as well as the inventories that are there and we have picked up some inventories. Some of them are from manufacturers where these situations have occurred.
Michael Fox -Park City Capital: Okay great and then you guys have done a great job managing the inventory and bringing down the inventory as sales have been solved over the last couple of years and the production companies have done the same. Can you talk about the flexibility that the industry has with things due come back, when consumer confidence does improve in that terms of demand start to materialize, how quickly do you think the interest rate you guys can ramp up the inventory to meet demand? I know it depends on how quickly demand can move back but just can you talk about that a little bit because everyone focuses on the kind of the downside in current environment but at some point things might improve and just can you talk about the industry’s ability to meet that demand that comes back strongly?
William H. McGill Jr.: Well mike you are absolutely correct. It’s a very good question and it’s one that we have asked our primary manufacturers but primarily it’s (Brunswick) and the answer to the question is yes, we’ll be able to respond and have the ability probably better than almost anyone out there to do so. And there was a little a bit of concern with some of the suppliers to the manufacturers and I think they are getting a little help here. And so I think the ability to meet our needs at the inventories is not going to be an issue and in some cases that’s a good problem to have because when it does occur…because margins should dramatically increase when that happens because supply and demand kicks in. But I’d say another issue with the companies that we deal with that in being able to respond better than most of the industry and I’d say step and meet our needs.
Michael H. McLamb: Up to that point, as we came out of the ’01 recession when people had rationed down, our manufacturers did respond faster and our market share grew faster than tell me how that kind of is…
Michael Fox -Park City Capital: Okay and then I know it is difficult to predict and no one knows what’s going to happen to the cycle. But if given your experience in the industry and you are on the job talking to customers every day, do you think it will be…when consumer confidence doesn’t turn, do you think it will be kind of the quick ramp given in terms of demand or do you think it will be as slow Bill, over couple of years to get the cycle back going?
William H. McGill Jr.: Well if you ask me what I am hoping for is that it will be a pretty good recovery but I think if anybody has crossed the ball is to how long it would take. But it doesn’t have to recover dramatically for us to perhaps reap the benefits because as I mentioned the pie is smaller and will position from the financing capability etc and balance sheet and structure I mean that I didn’t talk about our team very much on the call, but our team is unbelievably passionate about what we are doing and our customers satisfaction is at an all time high during these times. And you would think that when times are tough and people are watching their dollars it can be more critical but at the end of the day we are doing an outstanding job of taking care of our customers and keeping them as rating fans and so it would…Consumer confidence if its starts to improve and some good news comes out I think it would help feed upon our ability to really capitalize them.
Michael Fox -Park City Capital: Great okay and then just one last one. Mike, I’m sure you’ve done a lot of sensitivity analysis, this question kind of was asked earlier but have you…can you talk about what sales level  you would need to get to break-even? I know it depends on the mix and everything like that but just kind of the ball park range.
Michael H. McLamb: I mean honestly and I know we don’t give guidance but I think this is just a mathematical exercise. If our margins and our mix of our business are similar to what they were in the June quarter on an annual basis, if 30% times 400 million is a 120 million in G.P and you get 120 million of expenses you are close to break-even. If our margin mix is more like it is this quarter, we are going to need another 50 million of revenue. I mean we are not that far from break-even, I know it’s a loss but it’s that far from where we are right now.
Michael Fox -Park City Capital: Great okay, great thanks a lot for all the comments taken on the question.
Michael H. McLamb: Thanks Mike.
Operator: That was all the questions we had at this time, I will turn the call back To Mr. Bill McGill for closing or additional remarks.
William H. McGill Jr.: Thank you and thank you everyone for your continued efforts in supporting Marinemax, when also again I’d like to thank our team members for their hard works and passion for our business. It’s truly due to their efforts that we can call ourselves sailing in boat retailer in the country. Mike and I are available today, if you have any additional questions, thank you.
Operator: That does conclude our conference today; we thank you for your participation.